Operator: Good afternoon. My name is Alex, and I will be your conference operator today. At this time, I'd like to welcome everyone to the Trimble First Quarter 2017 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. Michael Leyba, Director of Investor Relations, you may begin your conference.
Michael Leyba - Trimble, Inc.: Thanks, Alex. Good afternoon, everyone, and thanks for joining us on the call. We're here today with Steve Berglund, our CEO; and Rob Painter, our CFO. I would like to point out that our earnings release and the slide presentation supplementing today's call are available on our website at www.trimble.com, as well as within the webcast and we will be referring to the presentation today. Turning to slide 2 of the presentation, I would like to remind you that the forward-looking statements made in today's call and the subsequent question-and-answer period are subject to risks and uncertainties. Trimble's actual results may differ materially from those currently anticipated due to a number of factors detailed in the company's Form 10-K and 10-Q or other documents filed with the Securities and Exchange Commission. The non-GAAP measures that we discuss in today's call are fully reconciled to GAAP measures in the tables from our press release. With that, please turn to slide 3 for an agenda of the call today. First, Steve will start with an overview of the quarter. After that, Rob will take us through the remainder of the slides, including an in-depth review of the quarter and our guidance, and then we will go to Q&A. With that, please turn to slide 4 and I will turn the call over to Steve.
Steven W. Berglund - Trimble, Inc.: Good afternoon. Our first quarter results represented solid progress and a continuation of a positive momentum from the third and fourth quarters, a stronger revenue growth and significant margin expansion. Revenue, as reported was up 5.3% year-to-year, which translates to underlying core organic growth of over 6.5%, after allowing for acquisition, divestiture and exchange rate effects. This is the highest growth rate we have seen since 2014. Although we continue to feel the cyclical effects from agriculture and oil and gas, increasing growth rate reflects our mitigation efforts in the affected businesses, as well as our focus on alternative growth components in the portfolio. Our non-GAAP operating margin in the quarter was 17.8%, up 2.7 points from last year, and reflected operating leverage of 67%, which was enabled by tight cost control, which held non-GAAP expenses flat year-to-year. Operating leverage, which has been and will be a central driver of continuing margin expansion was 44% for the last trailing 12-month period. Our full-year 2017 outlook remains basically unchanged from prior commentary and anticipates further step-ups in revenue growth and margin expansion as the year goes on. The expectation for the full year is for single-digit organic growth with a potential boost by a couple of points of acquisition growth. We expect the second half's organic performance to be relatively stronger than the first half. In addition, we expect the effect of acquisitions made during the year to add multiple growth plans in the second half. The international market outlook remains generally favorable with some very hot regional markets. Europe, Asia-Pacific and most other regions are outpacing North American growth. The environment in the U.S. is relatively uncertain, while awaiting policy outcomes on infrastructure spend, tax reform and trade policy. Our forecast has never being to significant impact from increased infrastructure spend and it will represent a potential net upside to the forecast, if it happens. Tax reform is likely to have a positive direct and indirect effects, but with the qualification if it impacts cross-border transactions. Increased trade protectionism would be negative. Given the possibility of increased infrastructure spending, we've stepped up our engagement at the federal level, with the aim of promoting the power of technology to build the infrastructure better, faster and cheaper. We're also increasing our efforts with the 50 States, anticipating that actual spending decisions will be made at that level as well as recognizing that many States have taken the initiative to increase spending, independent of federal actions. Today, is the first time, we have reported using our new segments. The change represents the evolution of our business and our markets and brings better balance to reporting segments, enables improved transparency and better enables us to articulate the Trimble narrative to our investors. We appreciate that this is a change for the analyst and investor community, which has grown accustomed to the segmentation we last adjusted in 2006. Rob will walk you through the details. The second half of 2016 and early 2017, represents a period of strong innovation in Trimble with implications for both short-term and long-term competitive positioning. Let me provide a few examples along with the summary of the status of the segments. The Geospatial segment, net of divestitures and acquisitions grew year-to-year for the first time since 2014. The SX10 product, our scanning total station, which was released in the fourth quarter, has redefined the product category and is a market hit without an effective competitive response. We left the quarter with a strong backlog for the product and are ramping up manufacturing to meet the demand. Businesses within the segment are also benefiting from increased investments in autonomy, which require both precise positioning and better maps. In the Buildings and Infrastructure segment, the recent CONEXPO trade show provided us with an opportunity to showcase both our role at the center of the information ecosystem for the civil engineering market and the advantage of being a provider of hardware and software bundles. Trimble technology had a visible presence in 18 equipment manufacturers' booths. Our presence on these machines provides a platform on which to sell future information solutions. At the show, we announced a number of new solutions with particular emphasis on the new machine-controlled product platform. Part of the inaugural launch was the industry's first integrated 3D aftermarket excavator, which represents a significant step towards greater automation. In the buildings component of the segment, we saw double-digit increases in most of the businesses, including Manhattan Software. In the Resources and Utilities segment, the agriculture business reflected relatively healthy performance, particularly considering that we have not exited the cycle. During the quarter, we signed an agreement with Valley Irrigation, that provides us with immediate access to a targeted and well-developed distribution channel for our irrigation technology. The early results have been positive and the increased scalable enable us to intensify our innovation efforts in the irrigation. The Transportation segment produced strong revenue growth in the quarter, with the mobility businesses in U.S., India, and Europe reflecting currency adjusted double-digit growth. Product innovation, together with ELD mandate in U.S. help propel this growth. Our emphasis on focusing on profitable growth platforms continued in the quarter. In the first quarter, we divested our ThingMagic business, which was discussed on the last call. We also divested a small non-core crane lifting system business to focus more aggressively on wireless solutions for cranes. In addition, we have eliminated a number of small manufacturing sites that were acquired through acquisition. We either made or announced a number of small acquisitions in the quarter to extend our information solution franchises for rail and forestry. We closed the transaction for Beena Vision in the Transportation segment in the quarter, which was discussed in the last call. Although we seldom use the Internet of Things terminology, the combination of Beena Vision with our existing rail information capabilities is a real example of the power of the term. The prospects for us in this large market are interesting and early results are encouraging. We also announced three acquisitions in our forestry business within the Resources and Utility segment, which in combination with our existing forestry assets puts us in a unique and central position to redefine the forestry workflow. Our connected forest solutions manage the full raw materials lifecycle of planning, planting, growing, harvesting, transporting and processing. By encompassing the entire workflow, we have the opportunity of eliminating historical points of friction and delivering transformative outcomes. Let me turn the call over to Rob for more detail. In summary, the outlook for 2017 continues to be positive with an opportunity for an increase in the levels of revenue, growth and margin expansion. Our improving financial model provides hope to place increased emphasis on discrete growth initiatives with the aim of building momentum into 2018. Examples include the accelerating conversion of traditional software license models to SaaS models, the continuing investment in Trimble Connect, the development of our data and software capability in agriculture, the development of driver communities and third-party logistics providers in transportation, and the development of autonomy concepts. With the strategic foundations we have in place, we also see the opportunity to capture network effects and to build stronger franchises in our existing verticals through targeted accretive acquisitions. Rob?
Robert G. Painter - Trimble, Inc.: Thanks, Steve, and good afternoon everyone. Please turn to slide five. Our first quarter results came in ahead of expectations with top line and bottom line results meeting or exceeding expectations in all of our reporting segments. First quarter total revenue was $614 million, up over 5% year-over-year. Within that, currency translations subtracted approximately 1%, and the net effect of acquisitions and divestitures subtracted approximately 0.5%, so total subtractions of approximately 1.5%. First quarter gross margins were 56.5%, up 60 basis points on a year-over-year basis. Non-GAAP operating income margin of 17.8%, represented a year-over-year improvement of 270 basis points, well exceeding our baseline expectations and reflecting the compounding effects of revenue growth, gross margin expansion and cost control. First quarter non-GAAP net income was up 31%, and non-GAAP earnings per share in the first quarter were $0.33, up $0.08 or 32% year-over-year. Turning to the balance sheet and cash flow, please turn to slide 6. Deferred revenue increased 5% to $337 million. Operating cash flow decreased 10% to $103 million reflecting timing of working capital requirements, particularly accounts receivable. We finished the quarter with $423 million of cash in short-term investments, and our gross debt level at the end of the first quarter was $648 million, leaving us ample dry powder to execute upon our capital allocation strategy. Finally, our non-GAAP tax rate declined from 24% to 23%, reflecting favorable geographic income mix. Turning now to segment commentary, let me first set additional context with the re-segmentation. For those of you who follow our investor presentations and meetings, you will note that over – that we've been sharpening the focus of the Trimble story over the last year. Trimble is transforming the way the world works by delivering products and services that connect to physical and digital world. Slide 7 shows a slide from our investor material that's put a visual to this strategy across our largest served industries. Furthermore, this slide shows the four core business franchises that we have been talking about over the last year, geospatial, construction, agriculture and transportation. The slide also identifies a set of emerging industry opportunities that we have been talking about for some time. If you turn to slide 8, this bridges the gap from the old reporting segments to the new reporting segments. A couple of highlights to mention are as follows: Geospatial and construction were basically separated. Construction covers both vertical and horizontal work, which is why we call the segment Buildings and Infrastructure. Our GIS business moved from the former Field Solutions into Geospatial along with elements of the old Advanced Devices reporting segment. Please note that a majority of the company divestitures in the last 15 months have taken place in the new Geospatial reporting segment. Resources and Utilities are still dominated by our agriculture business. In the re-segmentation, our correction services business, and our forestry business have moved together with agriculture, as they have highly complementary strategies and customers. Finally, our Transportation segment combines our on-highway business with the emerging rail business. On our investor website, you will find historical information for the new segment revenue and operating margins going back to 2014. And in the appendix of this earnings presentation, you'll find a table that provides first quarter revenue under the prior reporting segments. Turning now to review of the reporting segments. Let's start with Buildings and Infrastructure on slide 9. Segment revenue was up 8% year-over-year, with currency translation subtracting about 2% and acquisitions and divestitures providing a minor positive effect. The buildings aspect of this segment largely reflects vertical construction and real estate management, ensures our BIM-centric businesses. Infrastructure largely represents horizontal construction work, which we also refer to as civil engineering and construction. The building-centric elements of the business were up double digits for the quarter, a reflection both of the performance of the business as well as a comparison against a relatively weak comp from the first quarter of 2016. Across the board from architecture and design to our estimating design and engineering solutions for MEP and structural trades, all businesses performed well in the quarter, with concentrated strength in North America and Europe. Our civil engineering and construction business grew strongly outside of North America with double-digit increases in markets such as Germany, Japan and Australia. The North American market largely remained in wait-and-see mode. Our new products launched at CONEXPO have been received extremely well in the market, and we are confident about the competitive position we continue to build around this franchise. We continue to progress with OEM deals and thus far in 2017, we announced additional machine relationships with Hitachi, Kobelco, Sumitomo, K-Tec and Yutong. To intersect these announcements with machines and workflows, the Yutong deal is for dynamic compaction, K-Tec is for scrapers, and Kobelco is for excavators. We also announced that cloud-to-cloud connection with Hitachi that enables Trimble Connect to mid workflow data on and off machines. The impact of growth and cost control enabled us to expand our operating margins 450 basis points to 17.4%. It is also worth noting that a meaningful amount of the financial strength from our civil engineering and construction business is absent from operating income. As our 50-50 joint venture with Nikon, and our 50-50 joint ventures with Caterpillar fall below the line in non-operating income. These joint ventures contributed to the year-over-year improvement in earnings per share. Moving to the Geospatial segment on slide 10. Revenue was down 2% year-over-year with currency translation subtracting about 1%, and acquisitions and divestitures subtracting another 3%. Within Geospatial, our core Trimble branded business of optical and GNSS equipment posted slight growth, including growth in the North American market, which we as have discussed in prior calls have suffered from the effects of the low oil prices. While one data point does not represents an inflection, we are encouraged by this performance along with a strong double-digits booking growth driven by demand for the new SX10 product. We have seen some pick up in oil and gas regions such as West Texas and also in a number of state departments of transportation. Another highlight is our Applanix business, which specializes in inertial technologies used for mobile geo-referencing applications, including autonomous driving applications. An area of relative weakness continues in our GIS business, which we have previously discussed. These revenue trends in combination with cost control enabled us to expand operating margins by 150 basis points year-over-year to 18.6%. Next, turning to Resources and Utilities on slide 11, segment revenue was up 5% year-over-year, with currency translation subtracting about 1%, and acquisitions and divestitures providing a minor positive effect. Within Resources and Utilities, our agriculture businesses represents a majority of the segment. Our agriculture businesses were comprised of our well-known guidance technologies from manual to automatic guidance solutions, and also include additional hardware-centric solutions, such as variable rate, flow controls and pivot irrigation. In addition to foreign management solutions, our ag software solutions address food traceability and we also operate a marketplace and trusted source for new and used agricultural and industrial equipment. Overall, we continue to experience healthy growth in markets such as Europe, Russia and Brazil, which reflect both penetration dynamics, as well as currency dislocations. In the United States, we experienced slightly positive growth in the quarter, which was encouraging. Farmers seem to be motivated to look at precision ag solutions, despite continued tough macro conditions. We also achieved growth in our OEM business outside of our important CNH relationship. Tangential to ag, our correction services business posted strong double-digit growth in the quarter. Trimble correction services provides a range of accuracy, specific to the application needs of our customers whether that be sub-inch or sub-meter. The majority of our correction services' customers are farmers who need this accuracy for their work. We see this business as a growth engine for Trimble, as it provides ubiquitous, absolute positioning for applications beyond the agriculture, such as construction, GIS work, or the general realm of economy, also in Resources and Utilities is our forestry business. Steve mentioned how the acquisitions completed thus far this year have filled in our gaps and now allow us to be able to deliver a true Connected Forest strategy. Slide 15 details out the acquisitions and the strategy. The sum of growth, cost management, and a bit of favorable comps allowed us to expand margins 450 basis points to 35.2%. Note also that the first quarter has, historically, been the highest operating margin within Resources and Utilities segment during any given year. Turning to the Transportation reporting segment on slide 12, revenue was up 9% year-over-year with currency translation subtracting less than 1% and acquisitions adding about 1%. Our Transportation business is dominated by what we refer to as transportation and logistics, which provides mobility, enterprise and mapping, routing and navigation solutions for the trucking industry. Mobility covers on vehicle technologies and is the part of the business that has been benefiting from the forthcoming ELD regulations in North America. Enterprise covers ERP centric solutions for mid-to-large asset-based and non-asset-based carriers. And mapping, routing and navigation covers trucking industry specific solutions for these technologies. Our FSM or field services management business is in this segment, as is our emerging rail business. Growth in this segment was largely concentrated in North America as the majority of the business today is in North America. We also saw growth in Europe and India. Operating margins decreased 70 basis points to 15.9%, offsetting factors to natural operating leverage from revenue growth, included continued investments in discrete new initiatives such as a truck driver community, as well as a reduction in margins driven by larger-than-expected low-margin OEM hardware sales. We expect transportation operating margin expansion through the rest of the year. Next, slide 13, by geography, our revenue mix for the quarter was 53% from North America, 26% from Europe, 14% from Asia-Pacific and 7% from Rest of World. North America was up 3% year-over-year. Within North America, revenue in the U.S., Canada and Mexico were all up. The Transportation segment was up in North America, with a small decline in the other reporting segments. Within the other reporting segments, as mentioned, we had positive moves in product lines such as GNSS, optical, and ag hardware, offset by negative moves in GIS, for example. Europe was up in the first quarter, with solid double-digit growth in markets such as Germany and Russia, even after negative FX effects, offset by a double-digit decline in the UK. Asia-Pacific revenue experienced growth in all, but the Resources and Utilities segment with strong double-digit growth in markets, such as Japan and Korea. Lastly, Rest of World was up strong double-digits, driven by markets such as Brazil, Argentina and South Africa, and offset by markets, such as the Middle East. Moving now to our revenue mix, slide 14 shows us that our software services and recurring streams represented 48% of our revenue for the year, flat with respect to the prior year while recurring revenue represented 29% of company revenue for the last 12 months, 2 percentage points higher than the comparable prior period, reflecting the outpaced growth of this revenue stream. Growth in hardware revenue over the last 12 months has resulted in an unchanged mix of software services and recurring streams on a year-over-year basis. With that, we now turn to our second quarter guidance. We expect our second quarter revenue to be between $625 million and $655 million, and non-GAAP EPS to be between $0.33 and $0.38 per share. A bit of commentary on the top line growth, we expect our second quarter growth to roughly follow the pattern of year-over-year growth we've experienced over the last three quarters. As for the bottom line, we continue to expect meaningful margin progression on a year-over-year basis. With that, let's now take your questions.
Operator: Your first question comes from the line of Jerry Revich of Goldman Sachs. Your line is open.
Jerry Revich - Goldman Sachs & Co.: Hi, good morning, everyone, or good evening, excuse me. Can you talk about in the Transportation segment, you folks were doing work on rolling out electronic logging devices for low-end applications, for just basic compliance, and I'm wondering if you could update us on where that stands, where those development efforts stand today, and what are the lead times like in the installation of the electronic logging devices broadly, as your customers there work to hit the end of year deadline?
Robert G. Painter - Trimble, Inc.: Well, I'll start maybe with the latter part. Yes, as you said, with the deadline leaning towards the end of the year, that is driving activity with the end-market, and so the backlog on the net business is reflective of the number of companies coming out to implement technology. So that was from a, I call it a, macro perspective, that is the favorable conditions relative to, let's say, deal activity in the market. So we do see that continuing and we have an expectation that that will – activity will tick up through the course of the year as this first deadline comes our way. Relative to the product availability and the launch of the product really targeted at the sweet spot in that – I call it that mid-market. We are on track with the product delivery timeline. So at this point, remain confident that we're well positioned with the right product at the right time.
Jerry Revich - Goldman Sachs & Co.: And, Rob, on the first part of the comment, do you folks – your distribution centers have the head count in place to support the significant ramp in installations or should we look for a period of more OpEx investment for you folks to accommodate the end-user demand heading to year end?
Robert G. Painter - Trimble, Inc.: No, we do not anticipate an increment of OpEx out of the, let's say, out of the norm in order to meet the demand on a delivery doc. So, no, we feel like we're well-positioned at this point. We've had to develop those jobs as it were in the last few quarters as demand has ramped up.
Jerry Revich - Goldman Sachs & Co.: Okay. And in your prepared remarks you spoke about rising adoption of precision farming, can you talk about which of your product lines you're most optimistic on adoption within the next 12 to 24 months? What are you seeing outside of the ramp of precision GPS in Europe?
Robert G. Painter - Trimble, Inc.: Well, if you think about it from a – it come out at a product line in a geographic angle. If you think about it from a product perspective, if you look at major segments such as guidance, flow controls, irrigation, water management, we've seen positive movements really in all those business lines, probably particularly in guidance, flow controls and I mean, in irrigation, Steve mentioned the Valley Irrigation partnership announcement we made in Q1. So, yeah, it kind of viewed across the board. From a geographic perspective, we've continued to see outsized growth outside of North America. However, as we said in the prepared remarks, North America did show a positive comp in the first quarter, which was nice to see.
Jerry Revich - Goldman Sachs & Co.: Okay. Thank you.
Operator: Your next question comes from the line of Richard Eastman of Robert Baird. Your line is open.
Richard C. Eastman - Robert W. Baird & Co., Inc.: Yes, good afternoon. Just a couple questions. Steve, lately, I just want to bounce off you the – we've seen a number of articles about ag production and exports, Rest of World kind of gaining share. And, obviously, can you just address how – is Trimble well positioned globally within those ag markets, obviously, Rest of World, kind of showed up is doing quite well, but I'm just – is the scale – are we positioned to take advantage of the scale of the spend in Rest of the World in our ag business?
Steven W. Berglund - Trimble, Inc.: Yeah, I would – in general, the answer is, I think emphatically, yes. You look at the alternatives to the U.S., sort of the alternatives to North America for that matter. Well, let's say, alternatives to the U.S. plus there is Canada that's basically home turf for us. There is Brazil, which is where we're seeing extremely high growth at this point in time. And we've been established in Brazil for really decades in agriculture, and we're in the process of kind of stepping up our effort in Brazil, in terms of relative density of channel. So, I'd say, Brazil, we have well in hand, there is Australia, which again I would kind of call home turf, a market that we're very comfortable with. So I would say, the dynamics probably revolve around those areas, primarily. Eastern Europe and Russia, again, areas that we're seeing significant growth in at this point in time, maybe relatively recent additions from a channel perspective, but certainly areas where we have feet on the street, where we have distribution, where we have, let's call it, a real understanding of the market. And, I would say, those are probably, kind of the primary players in, let's call it, the arbitrage of agricultural markets, then you get into the peripheral markets like China and others, and I would say, again, we're pretty comfortable in those areas. So, I would say, in general, if the world is arbitrage in kind of the agriculture production, we're capable of going wherever it is.
Richard C. Eastman - Robert W. Baird & Co., Inc.: And those presumably are more aftermarket deployed technology or is our CNH partnership, is that still carrying the flag or just...
Steven W. Berglund - Trimble, Inc.: Certainly, the CNH partnership is relevant in most of those areas.
Richard C. Eastman - Robert W. Baird & Co., Inc.: Okay.
Steven W. Berglund - Trimble, Inc.: I would say, the model is very much the same, at least in terms of structure as North America, which is a combination of OEM relationships. And then the number of OEM relationships is increasing at this point in time. With factory set, with the idea that in the longer term that provides a platform on which we can sell software and other products. But, I would say, the structure around the world is quite similar to that in North America, which is a combination of factory set plus aftermarket.
Richard C. Eastman - Robert W. Baird & Co., Inc.: Okay. And then just a quick question, Rob, on the re-segmented revenue and the pieces here, we used to speak to Trimble's opportunity from an adjusted operating margin standpoint is being in the low-20s. And I'm curious, when I look at the re-segmented op margin, on an adjusted basis, Resources and Utilities had a great quarter, 35% that's mostly ag, ag we were trying to manage in the past to 30%, but could you just give us a sense of the opportunity if you want to do three years out or in the four segments in terms of where the adjusted op margin can go?
Robert G. Painter - Trimble, Inc.: Sure. As you know, Rick, we don't guide at a segment level, but just to frame it at a high level, working backwards from the company model. I think about it as follows, in the Resources and Utilities, maintaining a margin where we were, let's say, at the end of last year on an annualized basis would be certainly part of the strategies, part of the financial model. I wouldn't – so, yeah, you are right, of course, we're in the 30% range plus or minus, of course, because we do continue to invest in the software business as we have to bring them to scale. If I look at the Transportation business, the clear financial objective as we grow the business is to expand the operating margins to be closer to the company average. And as you do that, you're going to naturally fit the model to get it to our objective there in those low-20s in the long-term. When I think about the Buildings and Infrastructure franchise, also a business that had good growth tailwinds and when we look at the op margins in that, I would call that as a steady increase in operating leverage will increment us to the company model. And, finally, Geospatial, which of the four segments would represent the most mature of the segments. So if I think about the growth rate in Geospatial segment versus the other segments, I would tend to put it lower on the list of the growth in the longer term, all organic when I say this. And then from a margin perspective, trying to kind of, I'd say, maintain or hold somewhere close to where we've been, mix all the pieces, add up to that the company growth – or excuse me, company growth in margin model as we talk about.
Richard C. Eastman - Robert W. Baird & Co., Inc.: Okay. So Geospatial 20% would be a good solid number, and, again, I'm not putting a timeline on it, but that's how that would play out?
Robert G. Painter - Trimble, Inc.: Yes.
Richard C. Eastman - Robert W. Baird & Co., Inc.: Yeah. Okay, okay. Thank you.
Operator: Your next question comes from the line of Colin Rusch of Oppenheimer. Your line is open.
Kristen Owen - Oppenheimer & Co., Inc.: Yes, thank you. Good afternoon, gentlemen. This is Kristen on for Colin. Just wanted to unpack that 270 basis points of margin improvement a little bit, as you mentioned the strong results in three out of the four businesses. Can you maybe help me understand, how much of that is volume leverage versus the structural changes that you've made in the cost of those businesses? And then maybe to that, how much of the impact of the software mix that we're beginning to see at this stage?
Robert G. Painter - Trimble, Inc.: Sure, Kristen, I'll take the question. So from the op margin improvement, well, if I think about from an OpEx standpoint, on an organic basis, our head count is down year-over-year. So there is a clear element of managing the costs that plays out into the margin improvement. In other words, that is the foundation for operating leverage as the revenue grew that over 5%, it's going to naturally fit into that. So it's kind of an all of an integrated answer, because some of the structural, well, structural changes, okay, we could be talking about manufacturing plant consolidations and some of the divestitures, if I call those structural elements, there is a few step up of basis points there. But really the fundamental change or delta would have come from the combination of cost control meets revenue growth equals operating leverage.
Kristen Owen - Oppenheimer & Co., Inc.: Okay. And I mean, is there any difference in the geographic mix, I know you talked about penetration rates in the U.S. and Canada, are you seeing that impact, the margin profile on a go-forward basis?
Robert G. Painter - Trimble, Inc.: Well, if I think about a – well, what we see happening from a revenue standpoint is the markets outside of North America are growing faster than North America. So if we can call them Europe, Asia-Pacific, Rest of World posted higher growth rates than the U.S. Where the U.S. to return to growth rates we've seen in the past or something that's approaches growth rates we see in other major regions in the world, that would naturally provide a step up in revenue. And, therefore, operating leverage and therefore margin expansion. That's how I would think about on a regional basis. Relative to your question on penetration, we do believe one other reasons we've seen step ups in markets such as, obvious agriculture is an example, but I could do the same thing with machine control technologies and infrastructure business. As we do see, lower penetration in markets outside of North America, U.S. and Canada specifically, than we see in this market here in the U.S. So there is certainly an element of penetration that comes and at some point in the mix. And I think you also asked about software, and we do see the software portfolio continues to grow faster than the hardware-centric businesses. Now, we would emphatically characterize ourselves as a solutions company, when you breakdown the solutions into the software and hardware elements, with the software outpacing hardware growth, we do see some natural expansion both top and bottom there.
Kristen Owen - Oppenheimer & Co., Inc.: Sure. Thank you for that. And I can follow-up with the rest of that offline. One more if I can fit it in. You talked a little bit about having the dry powder now to execute on your capital allocation strategy. Can you just review that allocation strategy for us now that we've seen a little bit more return to M&A this year and anything else you are thinking?
Robert G. Painter - Trimble, Inc.: Well, certainly in the mix of things we look at are, first funding our internal organic growth, our internal research and development is the foundational driver of our organic growth. Next, when we look at M&A possibilities that Steve highlighted at last quarter as well this quarter, that we see a couple of points potential growth from M&A activities and the balance sheet would reflect the ability to do deals, of course prudent deals. Buybacks or our stock buybacks are part of the capital allocation strategy. We did a little under, I think it's under $15 million here in Q1. So that would be the lens by which I think about capital allocation.
Kristen Owen - Oppenheimer & Co., Inc.: Great. Thank you for taking my questions.
Operator: Your next question comes from the line of James Faucette of Morgan Stanley. Your line is open.
James E. Faucette - Morgan Stanley & Co. LLC: Yeah, thank you very much. I'm wondering, if anybody, Steve, whoever could chime in, I want a little color if you have, and even if it's just anecdotal on the nature of the improvement that you've seen in business around a lot of the world. Just – and I'm really just wondering, do you feel like this is kind of catch up or delayed spending that's now coming through or do you think we're at the early stages of new projects and spend initiatives? I guess, obviously we're encouraged to see finally a response coming through in a really big way to improve commodity prices, et cetera around the world, and just wondering to get your sense as to what the nature of the buying is right now?
Steven W. Berglund - Trimble, Inc.: Well, I think it's always like a fairly complex paradigm, and I'm not sure I'm going to do a justice. I would again in general say that in number of regions and number of countries, it's been a pretty rough three, four years. So, I would tend to characterize it more as a return to normalcy than necessarily any – any necessarily surge effect and pent-up demand or something like that. I don't think the characteristics of our businesses, demand kind of – I don't think there is a capacitance if that kind of builds up demand and then releases it. So, I think this is a return to normalcy. So, if you look at markets like Australia, which has definitely been affected by commodity prices over the last several years. They came off of a relative boom, a Chinese led boom, fell into pretty hard times, which directly affected us kind of disproportionally given the overweighting of the Australian market for us. I don't think that market is coming back in booming, I think it is coming back to kind of more normal conditions. Places like Russia is kind of recovering from what I recall kind of a geopolitical hiatus, where demand fell away pretty sharply and really tied to let's call a combative geopolitical environment. So I would say, again it's returning to normalcy. I would say is in places like Brazil, there may be a little bit more of special circumstances. Right now, given exchange rate parities and such is Brazil's – Brazil from an agricultural standpoint is in a pretty good position. They're very competitive given the exchange rate moves of recent times. And so, I would say that one maybe getting fed by a little bit more by special circumstances. So I think the conditions vary around the world, but rather than kind of look for. I see this has fundamentally returned to normalcy and presumably sustainable over in a relatively long period of time.
James E. Faucette - Morgan Stanley & Co. LLC: That's really helpful. And then I am wondering if you can give any update on efforts to transition notably some of the offerings are subscription based from current perpetual models, that's still a meaningful effort and in what areas and kind of just an update on the progress there?
Robert G. Painter - Trimble, Inc.: So, I would think about it in a couple of ways. One, let's take Greenfield development activities, that is that we are doing a rewrite or refresh of an existing software technology or we're creating something just entirely new. The vast majority of time that's going to default to a cloud offering, and therefore a SaaS – or almost by a definition therefore a SaaS business model offering of that technology. When we look at the existing software that we have in the company, still the majority of it today is perpetual license based software and recurring maintenance streams that go along with it. We do not have an express strategy to convert to SaaS for the sake of converting to SaaS. In many cases, in fact, we think that that would actually be a mistake and doesn't meet the needs of the customer, whether that would be through connectivity in remote field locations or by the processing power involved in some of the in-depth detailed engineering design applications that we have. So we don't do it for the sake of doing it. And then having said that, and the way we think about those conversions and undertaking those conversions within existing business is in the context of a long range plan or a long range strategy. And so, if you put it in context of, let's call it market penetration to go back to one of the earlier questions and if we see that that's a way to reach a new customer base, maybe we've been serving an enterprise set of customers and get to the small, medium size customer segment, they can't take on heavy implementation of the software, it's got to be lighter and easier to implement and then usually quid pro quo (44:31) is less feature rich. So as we see opportunities to go after new market segments and places, so to give you a couple of examples, such as our architecture and design business or in our trucking business, TMW, there is transportation management systems, those are two businesses that are undertaking SaaS development conversion efforts, simultaneous with continuing the perpetual offerings that we have today. So, hopefully that helps, James?
James E. Faucette - Morgan Stanley & Co. LLC: Yeah, that's really helpful. And then, just last question. Can you give an update on, it seem like there had been some Geospatial related inventory that needed to be work through, any update on where you feel like the channel is on that now?
Robert G. Painter - Trimble, Inc.: Yeah. Good question. So relative to the Geospatial inventory, what we believe we're seeing happen as survey – I'm talking – this is quite American-centric when I answer this. We're seeing more American U.S. survey crews going back to work, whether they're going back to work for DoT work or cadastral work related to construction, whether that be residential or non-res construction or in pockets of the country like the Permian Basin, where there are some well heads that are getting tapped – new well heads being tapped. We're seeing more surveyors go back to work. As more of the surveyors are going back to work, they're starting to work through. And I say starting to work through, the inventory that's been let's say so to speak on the shelf and as they work to that inventory and at the same time as we've come out with new innovations such as the SX10 that Steve talked about, that makes for a better context than we've seen here for a number of quarters.
James E. Faucette - Morgan Stanley & Co. LLC: Great. That's really helpful. Thank you so much.
Robert G. Painter - Trimble, Inc.: Yeah.
Operator: Your next question comes from the line of Jonathan Ho of William Blair. Your line is open.
Jonathan F. Ho - William Blair & Co. LLC: Hey, guys. I just wanted to start out just with your commentary around the infrastructure spending environment and perhaps maybe some color on what you're seeing there, in terms of willingness to spend either with or without sort of a federal spending package?
Steven W. Berglund - Trimble, Inc.: Yeah. So, I think the mood has probably changed over the last three – call three months, post election, it was relative euphoria, and a high anticipation that things would happen relatively quickly, relative to infrastructure spending. I think the relative mood or the assessment at this point is that, the whole infrastructure thing given healthcare, given tax reform is likely to be a 2018 event. So, I think that the environment is a bit more muted today than it would have been three months ago and a little bit more careful. So, I think right now in terms of the market today, I think it's become much more of a wait and see sort of market. Now, the thing that is taking place and I had it in the script as relatively casual reference is, there is a propensity for the States to not wait for the feds. And so, for example, you saw a relatively large package passed in California to invest in infrastructure, that is not happening, necessarily generally, but it is happening in a number of States. So, I think that the commitment to infrastructure is growing. It has not taken, let's call it generalized concrete form yet. So, I think from our perspective, the market is doing well without any real impact from the either anticipated or current federal spending. So, I think for us, it is likely to be a 2018 event. And if there were relatively quick movement on the infrastructure bill or the probability became better understood, I would say that we would see a level of investment in our sort of technology kind of at the front end of the curve, and not necessarily waiting for the actual money flow, but I think the probability is of quick results have decreased in the last three months, so I think right now people are more in a wait-and-see mode.
Jonathan F. Ho - William Blair & Co. LLC: Got it. And then just relative to your comments around forestry, can you give us a sense of how big a business you think this can be for you, maybe timing for that? And how we should think about distribution for this type of vertical?
Steven W. Berglund - Trimble, Inc.: Distribution as in channel?
Jonathan F. Ho - William Blair & Co. LLC: Correct, distribution channel.
Steven W. Berglund - Trimble, Inc.: Okay. Yeah, so, compared to construction, compared to agriculture, compared to transportation, forestry is more of a niche market. It is a – I suppose a reasonable nine figure, more than $100 million sort of market, that is really not particularly well penetrated, it is quite fragmented. So, I think there is both a penetration potential here in terms of bringing technology to places that have never seen technology. I think there's also a market share argument to say that okay, the solutions in place are fragmented, not complete and that there is an ability to take share points. And then, I think there is the ability – a number of adjacencies there. So I think that, yeah, it's not the market, as we would define, it is not in the billions, it's in the hundreds of millions, but I think there is a significant potential for us making significant progress over the next few years. As forest channel, it tends to be a much more of an account based sort of business is, I would say inherently a direct sales effort kind of dominated by a few very large accounts around the world, and then there are a lot of much smaller growers. But, I think in general it would tend to revert to being a relatively direct sort of sales approach. At times, maybe augmented by third-party channels for smaller growers, but generally it's an account-based sales program.
Jonathan F. Ho - William Blair & Co. LLC: Great. Thank you.
Operator: Your next question comes from the line of Rich Valera of Needham Company. Your line is open.
Rich F. Valera - Needham & Co. LLC: Thank you. First, just wanted to confirm what you were looking for, for this year in terms of overall growth. Steve was it middle-single digit organic growth with another couple of points inorganic, just wanted to make sure I was right on what you were thinking there?
Steven W. Berglund - Trimble, Inc.: Sorry, you were a little faint there. Can you restate please?
Rich F. Valera - Needham & Co. LLC: Sorry, yeah just wanted to confirm what you were saying about your expected growth for the overall business this year. Was it mid-single digit organic growth with another couple of points from inorganic activities?
Steven W. Berglund - Trimble, Inc.: Yeah, I think, it is broadly characterized. Again, I don't want to be too specific about kind of the full year, we'll take it quarter-by-quarter. But just putting the stake in the ground relative to the first quarter, so reported 5.3%, there were exchange rate effects, there were divestitures, so we would regard the organic baseline to have been greater than 6.5% kind of apples-to-apples growth from the first quarter. You've got what we said in the – for the second quarter. And I would say is the sense at this point in time with what we can see is subject to geopolitical and all the other considerations is that we would actually expect a step-up on organic growth in the second half of the year. And then, we will see from a run-rate perspective, the acquisition activity will have a larger impact in the second half. So I would say, characterizing it as mid single-digits plus some number of points from acquisition. So, yeah, we're definitely looking to see a stronger second half of the year both in terms of the reported number, but then also the organic kind of baseline numbers in the second half compared to the first half.
Rich F. Valera - Needham & Co. LLC: That's great. And then with respect to Manhattan Software, which had been a drag for quite a while basically since you'd acquired it. It sounds like it actually performed pretty well this quarter. Can you give us a sense on where you see that business being relative to it, what you consider a normalized level for a kind of revenue and margins?
Robert G. Painter - Trimble, Inc.: Well, if we sort of break it into – let's say, some point and pieces, we get bookings before we get recognized revenue. So from a – it is called a business health perspective, we pay a lot of attention to what's coming in at call it the frontend at the top of the funnel. And in that respect, we feel decent about where the business is today. In other words, the bookings are steady and actually growing and we got one deal in particular that we recently won, that's one of the largest deals in the industry that's been out there. So in that respect, feel good about the competitive position that we have in the business and the management team has made a heck of a lot of I'd say operational improvements here of the last, well, really one year to two years. So I think from an operational efficiency standpoint, the team is heading in the right – they're heading in the right direction. Now, as all this translates to the bottom line while we are comping positive, we're still not where we want to be with the business. So we're not I'd say anywhere close to the company average of operating income, if I use that as the minimum expectations set that we would have to get to in the business we are not there today. What I will say, just a little more comment on the revenue side of Manhattan Software is that, I think by majority of the – excuse me, majority of the revenue is a SaaS revenue stream, is a recurring revenue stream. And so you have to be careful to also manage the business sensibly to manage it for the long-term health, and the cash flow of the business, not just for the optics of an immediate quarter's P&L, which in principal or in theory could drive either go after a license sale to drive accounting metrics, when really the right thing to do for the business is to drive the SaaS revenue and that's what we're doing is trying to do the right thing for the business to keep it going sustainably.
Rich F. Valera - Needham & Co. LLC: Got it. And then just one more if I could. Steve, in your prepared remarks, you made some mention to Geospatial. I thought you said so, it's first year-over-year growth since 2014, but I wasn't sure if you are referring to North American Geospatial or Geospatial. And then sort of a corollary, I mean do you think that business has now sort of at least stabilized where given the potentially – you should have pretty easy comps that that's potentially flat or up as we move forward the Geospatial business? Thank you.
Steven W. Berglund - Trimble, Inc.: Yeah. So the comment was worldwide.
Rich F. Valera - Needham & Co. LLC: Okay.
Steven W. Berglund - Trimble, Inc.: The conditionality was that kind of on a baseline basis excluding divestiture and acquisition effects kind of apples-to-apples, it was up for the first time as a total business, as a total segment since 2014. And in terms of expectations, yeah, our – I think you characterized it appropriately which is at least for the foreseeable future, for the remainder of the year kind of characterizing it as kind of flattish to maybe up a little bit would be the safe assumption, and that's kind of baked into our sort of expectations overall.
Rich F. Valera - Needham & Co. LLC: That's great. Thank you, gentlemen.
Operator: Your next question comes from the line of Brett Wong of Piper Jaffray. Your line is open.
Brett W. S. Wong - Piper Jaffray & Co.: Hey, guys. Nice quarter. Thanks for taking my questions. First, in the Building and Industrial segment, was the slower first quarter growth in heavy civil due to the tough comps that you saw from last year or is there something else happening there? And kind of more importantly, we've seen some positive construction activities, especially from some of your partners, so wondering what's your growth expectations are there for the year, and I know you don't guide to that, but are we going to start to see more accelerated growth driven by the States spending, given the views you already articulated about such spending likely being a 2018 impact?
Robert G. Painter - Trimble, Inc.: Relative to the civil business, so that really represents the infrastructure part of buildings and infrastructure. I would say, what held back the civil growth in the quarter, geographically speaking, would have been the North American market. So we saw outsized growth in the non-North American market. So as we intersect that with the new products that launched at CONEXPO, intersect that with Steve's commentary on infrastructure spend and on engagement at for us whether it's at the federal level or at the state level, where it provides a backdrop we think to see some – well, I don't think, I've returned to normalcy or just see a return to better comps for that aspect of the business in North America, specifically. But we haven't banked the plan on some kind of hockey stick coming back in North America, and the words wait and see is kind of how we're approaching this business in North America, feel good about the growth outside of the U.S. that we would anticipate the rest of the year.
Brett W. S. Wong - Piper Jaffray & Co.: Okay.
Robert G. Painter - Trimble, Inc.: I think I'm going to – there is another question to answer?
Brett W. S. Wong - Piper Jaffray & Co.: No. No. That was perfect, Rob. Thanks. And then, just on the ag side or the resource side. Any progress on the food processor customer base offerings and that's something that you guys kind of started talking about the end of last year, but any update on kind of how that's been going, you really talked about that in terms of the driver for the ag business here, recently? And then, as you've thought about it more, kind of what could that opportunity look like?
Robert G. Painter - Trimble, Inc.: So the software growth in ag was a strong double-digit growth year-over-year and our former management solutions for processor as a customer, specific customer segment for that grew as well. So do feel good about where that, I'd call, where the business is and what the opportunity is for that business. I'll qualify it here for a bit, but it's a small portion of the overall agriculture business today, so a double-digit growth in, if I'd say the processor market isn't turning the tanker yet today, so just wanted to put that in its context. Now, if we look forward and look on what's the opportunity, we could see, well, we're really highly North American centric with those solutions today. So there is clear penetration – we believe there is clear penetration to be had in the U.S. and Canada market. And then as you look on a global scale that certainly would be in our ambition set, but really, really early days for us in that regard. So on a longer term perspective, we'd believe that there is an attractive business to be had here.
Brett W. S. Wong - Piper Jaffray & Co.: Excellent. That's helpful. Thanks again.
Operator: Your next question comes from the line of Jon Fisher from Dougherty. Please go ahead, your line is open.
Jon Fisher - Dougherty & Company LLC: (1:02:37) hanging on late here. Just some questions, on the OEM side on the construction equipment, those are some pretty profile brand-name companies that you listed in the slide deck. Are those competitive displacements, I find it hard to believe some of those firms didn't already have some sort of relationship or a system in place for their customers. So, I'm curious to know if those are organic wins there or if you're displacing a legacy competitor?
Steven W. Berglund - Trimble, Inc.: I would say in general, there is always, yeah, there is always backdrop with competition. But rather than kind of put it in classical OEM terms about displacing somebody in an OEM context, I would say it's more about market penetration in terms of – I think for example at CONEXPO just walking the show, the words digital, the words technology were everywhere. And I think there is a recognition by the industry that the competitive challenge for the machine manufacturer is actually going to be the intelligent application of technology, kind of horsepower and torque and kind of the traditional virtues of the machine are really rapidly being pushed to side, and it's really more about how the technology is being applied. So, I would in – in a crude sense basically say, these were greenfield opportunities in terms of bringing the latest round of technology into the marketplace. So, I would characterize it more as a market penetration phenomenon and more so than as a competitive displacement.
Jon Fisher - Dougherty & Company LLC: Okay. And then on Manhattan Software, I know just from an accounting standpoint, one of the big issues has been some large legacy contracts that just you've – from a time standpoint you've just had to work through, given the sudden jump in growth, is it safe to assume that we're starting to anniversary some of those large legacy contracts, and if that is the case, kind of where would we be at in that cycle, how many more are there to go and how long would this kind of impressive growth could that be sustained if that is indeed what's going on?
Robert G. Painter - Trimble, Inc.: In terms of, let's say how many more there are to go, there is one primary one that I would reference in terms of a needle mover for the business, of course there is lots of implementations happening at any given time, but there is one in particular that of the nature I previously talked about is one we had to really work through and we can clear the debts on that, that frees up set of service folks to be able to go work on probably a long tail of customer implementations, so that's good news, but that is being worked down and the rest of your question was?
Jon Fisher - Dougherty & Company LLC: I guess I was under the impression that there were four, five, maybe six legacy contracts of measurable size just from a time and accounting standpoint we just had to kind of what the accounting standards and time work through? And I thought maybe if there were five or six, we've gotten through one or two of them, vis-à-vis this quarter, and that's why it was double-digit growth, and maybe there were three or four to go, but it sounds like there was really only one legacy contract of significance that is really the drag there at Manhattan, so?
Robert G. Painter - Trimble, Inc.: Yeah. Okay, one last and I think we got through at least one them in Q1. As we look forward to the rest of the year that's one primary one for us to get through and as we get through that, and the nature of being able to free up the resources means, we can get the projects implemented the customers live and their revenue recognize, that will potentially accelerate their recognition of the revenue.
Jon Fisher - Dougherty & Company LLC: Great. And then one last question, just on the accounts receivable comment that you made on the balance sheet. Is the jump in accounts receivable, is that software deferred, SaaS related, revenue related or is that standard accounts receivable, we won some business and we're just waiting 30 days, 45 days to be paid for that kind of stuff?
Robert G. Painter - Trimble, Inc.: Well, it's really all of the above, is the easy answer, just to know the nature software business, especially when you – for the maintenance. There is perpetual software that has an annual maintenance associated with it in the first quarter as the large billing quarter for that revenue stream. So that will naturally impact the AR, and then frankly, the timing of when those bills go out in the quarter, and impact to DSOs and AR balance itself, more towards the end of the quarter, you're going to see a DSO go up on these maintenance ones versus the bids on January 1, that's how it plays out.
Jon Fisher - Dougherty & Company LLC: Okay. Great. Thank you for taking my questions.
Robert G. Painter - Trimble, Inc.: You're welcome.
Operator: There are no further questions at this time. I turn the call back over to Michael Leyba.
Michael Leyba - Trimble, Inc.: Thank you, Alex, and thank you everyone for attending today's call, and we look forward to speaking to you next quarter.
Operator: This concludes today's conference call. You may now disconnect.